Operator: Good morning, ladies and gentlemen, and welcome to the Bombardier Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Ms. Shirley Chenier, Senior Director, Investor Relations. Please go ahead, Ms. Chenier.
Shirley Chenier: Thank you, operator. Bonjour. Good morning and welcome to Bombardier's investors and financial analysts. I would also like to welcome media representatives in attendance today. You will able to ask questions a little later in the conference call during the Q&A portion set aside for you. I would like to offer our condolences to Joe Nadol’s family, friends and colleagues. Joe died at the young age of 42 in a tragic train accident last week. He had been our analyst at JPMorgan for the past 15 years, and he will be sorely missed. Our thoughts are with his family and all who were close to him. So, shortly, Mr. Pierre Beaudoin, President and Chief Executive Officer, and Mr. Pierre Alary, Senior Vice President and Chief Financial Officer, will discuss Bombardier’s financial results for the fourth quarter and fiscal year ended December 31, 2014. And I am pleased to say that we also have with us today Mr. Alain Bellemare. He will be on this call. This call is broadcast live on the web and is translated into French and English at www.bombardier.com, and the webcast archive will be available in its integral version later on today. Slides for this presentation in English and French are equally available on our website. All dollar values expressed during this conference call are in US dollars unless stated otherwise. I also wish to remind you that during the course of this conference call, we may make projections or other forward-looking statements regarding future events or the future financial performance of the corporation. Several assumptions were made by Bombardier in preparing these statements, and we wish to emphasize that there are risks that actual events or results may differ materially from these statements. For additional information on such assumptions, please refer to the MD&A released today. Please also note that I am making this cautionary statement on behalf of each speaker whose remarks today will contain forward-looking statements. Pierre Beaudoin will now begin the presentation
Pierre Beaudoin: Hello, and welcome to this conference call. There is no doubt that 2014 was a year of change. I was not happy with the performance of the company and took the appropriate measure to strengthen profitability and the consistency of our results going forward. In transportation, Lutz put in place the PC program to reduce risk and improve execution going forward with making good progress and implementing this major change and we will start to seeing in full results and more consistency over the next few years. At Aerospace we now have three business segment; Business Aircraft, Commercial Aircraft and Aerostructures and Engineering Service. This new structure and R&D and power to leadership team, made us the more agile and facilitates faster the second mix. I chose to establish an Aerostructure and engineering service segment, as I believe there is a great opportunity to create value by extracting more revenue from our investment in component manufacture. This segment already produced many part for our internal use and we’ll now put more emphasis in developing external opportunity. We accomplished the loss in 2014. We’ve reached significant milestone in our development program, such as the assembly of the global 7,000 first FTV, which is progressing well. The CSeries flight test program has made tremendous progress and as we speak, as logged closed to 1,000 flight hour. Performance of the aircraft is peaking or exceeding our expectation. On the transportation side after completing the mandatory 600,000 kilometers test drive. The ZEFIRO 380 very high speed train has been homologated and the first delivery will occur in the next few weeks. This progress shows how close we are, to seeing the potential of these new products is a basis of our growth story for the years to come. Transportation also had an excellent year in order front. With key passenger rail contracts such as London Crossrail in the State of Queensland in Australia, where bulk orders are combined with long-term service contract. All this translate into a very strong backlog of 469 billion, which gives us great visibility on revenue for the next three years. And today, I am announcing a new leadership team. Alain Bellemare has appointed President and Chief Executive Officer of Bombardier now will take the role of Executive Chairmen of the Board expected tomorrow. So this morning, I would like to welcome Alain to our team. Many of you already know Alain is an experienced executive who acquired a deep knowledge of manufacturing sector while assuming leadership position in various, throughout his 18 year career at UTC notably at Pratt & Whitney. He displayed exceptional management skills with a clear focus on profitability. I am convinced that Alain will bring our company to the next level. In addition through our strong liquidity position of 3.8 billion at year-end, we are announcing today a financing plan to position us with a flexible and strong financial profile for the long-term. This plan includes raising equity for approximately 600 million as well as up to 1.5 billion in new debt. The board also decided to spend a dividend payment on the common share until further notice. And to compliment this financial plan, we will explore other initiative such as the potential participation in industry consolidation in order to deleveraging the company. We have one overwriting objective at Bombardier to become a true high performance organization with improved margin and better execution. We are determined and focused on delivery. And now before opening to questions, I will let Pierre Alary walk you through the results for the fourth quarter.
Pierre Alary: Thank you, Pierre. Bonjour. Good morning. Although -- our reporting increased revenue 
Unidentified Company Representative: Good morning.
Pierre Alary: Revenues for the fourth quarter totaled 6 billion compared to 5.3 billion last year. This represents an increase of 16% for Aerospace and 13% for Transportation. For the full year, revenues totaled 20.1 billion, an increase of 2 billion over last year. Aerospace revenues were at 10.5 billion, 12% higher while Transportation revenues were at 9.6, an increase of 10% over last year. The combined EBIT before special item totaled 156 million for the quarter and 923 million for the full compared to 186 and 893 million last year. For the full year Aerospace EBIT margin at 4.2% while Transportation is at 5.5%. Net financing expenses for the quarter amounted to 48 million compared to 45 million last year. The adjusted net income for the quarter totaled 83 million or $0.04 per share. For the full year adjusted net income totaled 648 million or $0.35 per share, compared to the 608 million or $0.33 per share last year. Consolidated free cash flow for Q4 amounted to 590 million compared to 771 million last year. For the full year Aerospace generated 800 million of cash flow from operating activities and invested 1.9 billion in product development. For the full year, Transportation free cash flow generation totaled 122 million. As a result we ended the year with a cash balance of 2.5 billion. Now looking at our retirement benefits, we have experienced a strong structural gain on planned assets of 1.1 billion, which was offset by a 1.5 billion negative impact from the reduction of discounts. Looking forward, the guidance for 2015 which is now presented by business segment within the Aerospace are as follows. Starting with Business Aircraft, in terms of profitability, we expect an EBIT margin of approximately 7%, which is an improvement of approximately 1% compared to 2014. In terms of liquidity, cash flow from operating activities are expected to be between 1 billion and 1.4 billion, while net addition in property, plant and equipment and intangible assets are expected to be approximately 1 billion. And we expect to deliver approximately 210 business aircraft. On the commercial aircraft side, we expect negative EBIT of approximately 200 million, which includes the dilutive impact of the initial of production of the C-series program. In terms of liquidity, we expect a neutral cash flow from operating activity and a net investment of approximately 900 million. And we expect to deliver 80 commercial aircrafts. In aerostructures and engineering services EBIT margin is expected to be approximately 4%. We expect a neutral cash flow from operating activity and net investment in property, plant and equipment of approximately 100 million. Revenue are expected to be approximately 1.8 billion. Now for transportation, we expect a slight improvement in EBIT margin compared to 2014. We also expect an improvement of free cash flow compared to 2014 although it is expected to remain below EBIT. In terms of revenue, excluding currency impact, we expect our revenue to be higher than 2014, a percentage grow in the low single digit and we expect a book-to-bill ratio to be an excess of one. Now, in order to position Bombardier with a flexible and strong financial profile, we are launching today our financing plan. First from a balance sheet perspective, we intend to raise approximately 600 million in new equity. We also intent to raise up to 1.5 billion in new long-term debt and to be in a position to access in market when conditions are favorable we have file today preliminary short shelf prospectus. Secondly we have decided to suspend a dividend on Class A and Class B share. And finally we will explore other initiatives such as certain business activities, potential participation in industry consolidation in order to reduce debt.
Shirley Chenier: Thank you, Pierre. We will now start the question period for analysts and investors. In order to keep the duration of this call at a reasonable length, as usual I would ask you to limit yourself to one question to give everyone a chance to participate. If you have any remaining questions at the end and if time permits, you can get back in queue. And if not, you can contact me or Yan after this conference call. We can now start with the first question. Operator?
Operator: [Operator Instructions] Our first question is from Fadi Chamoun from BMO Capital Markets. Please go ahead.
Fadi Chamoun: Yeah. Good morning. So, Pierre and Alary may be if you can chase in. I mean last year you provided us with your long-term pass for Bombardier at the Analyst Day, which consisted of growing the revenue from the new products and ultimately gradually reducing CapEx. Are you committed to the same pass that you elaborated on last year or if this changed we are seeing today is potential for something different to happen in the net number of years?
Pierre Beaudoin: We are committed to the same pass. Of course as I think we sit here and crack what we said last year and that’s mainly related to Q-Series with the down time that we add..
Fadi Chamoun: Can you explore a little bit on the other initiatives that you commented on like participation consolidation. Is there specific asset in the company that you are targeting for sort of these kinds of initiatives?
Pierre Beaudoin: I don’t want to speculate at this time. We have many assets across the company and there is elsewhere industry transportation we want to participate in order to continue to lead the industry.
Fadi Chamoun: Okay. Thanks.
Pierre Beaudoin: Thank you, Fadi.
Operator: Thank you. The following question is from Robert Spingarn from Credit Suisse. Please go ahead.
Robert Spingarn: Good morning. I have a two-part question if I could. The first is if you could elaborate on some of the portfolio shaping that you are thinking about and which side of the business we might see that whether it’s the BT or the BA side. And within BA what you might do there. Then Pierre Alary for you just specifically if the EBITDA margin for ’15 in Aerospace is around or little less than 3% putting all the sub-businesses together and you are going to start producing CSeries the following year with a 200-basis-point dilution. Am I thinking correctly to think that the margin for aerospace in ’16 is 200 basis points lower than 3% or closer to 1%? Thank you.
Pierre Alary: Well, may be I can answer directly your second question Rob. The EBITDA when you see less than 3% that’s -- I don’t know how you sum up to that number, because when I look at the various business units within the Aerospace, we will look at it on the pro forma basis. I see it always to you know -- if you calculate it based on 2014 structure form of the Aerospace, we would have a similar EBIT level -- that mean that the EBITDA would be clearly much higher than what you referred to. Now if you look at the current guidance 2016, when we have mentioned that Bombardier Commercial aircraft would have negative EBIT margin of approximately 200 million, it already saved into account, some of these dilutions or its mostly due to dilution that brings the engineering service of the CSeries. So you can expect to have some more as we start delivering, but there is already a portion or cut we can have 100% additional dilution and…
Robert Spingarn: Just simply going to say, I get about 300 million in EBIT this year or 400 million in EBIT versus closer to five last year, so how do you reconcile that on 10 billion in sales?
Pierre Beaudoin: I’m telling you that the guidance we have provided on the three individual business unit. If I was to put it on the same business that surpassed you there would be similar EBIT as last year. We have 4.1% last year and you referred to EBITDA in your question….
Robert Spingarn: No, I am talking about EBIT, so I misspoken moment ago, so 400 million change for business negative 200 for commercial and a little less than 100 for Aerostructures, that’s how I did my math.
Pierre Beaudoin: I am telling you that my math -- all right, but it’s similar a number of last year.
Robert Spingarn: Got it. Thanks.
Pierre Beaudoin: The one thing I’d add -- as you said, one thing is clear and we’ll give you segment numbers later on in year as you could follow my segment. One thing is clear the ramping up of the CSeries as you set for yourself will be dilutive and this is normal for commercial aircraft especially in IFRS unit trust accounting. It’s normal that we see that versus other methods of accounting for -- services business aircraft and we -- for commercial aircraft we use unit cost. I want to get back to your question of consolidation. I said I don’t want to speculate or just you give one example, I won't go any further in that, but as you have observed in the Transportation industry, the two big Chinese companies CSR and CNR have merged. So as the world leader in this category, I guess before the merger, we need to ask our self how do we best position our self for the long-term is there consolidation of course. But that's just one example of our different business segments as we have.
Robert Spingarn: Okay. And then just Pierre, thank you for that color. When you talk about ramping on CSeries this year that's a very fair point and that contributing to the negative EBIT how many production aircraft should we expect in '15 as you build to a certification at the end of the year?
Pierre Beaudoin: We are -- in '15?
Robert Spingarn: Or you are going to build some airplane in advance of delivery. So I am just curious on the quantity?
Pierre Beaudoin: Well, we are not precise on the quantity. But we are doing a ramp-up on -- deliveries expected specifically production level. But we already start producing -- 2014 is already an impact from the production because we have to take as we know investments that will value vision on the inventory that we build. Where first unit will have a lower selling price, higher unit cost, so typically the first unit that we deliver are negative and we have to take provision on the inventory we build on the first dollars that are in excess. We've already decided in the current year will have the impact of 2014 and the 200 million that we refer to for Commercial Aircraft is mainly the C-series has also a lot along the margin. So the dilution impact we already see it.
Pierre Beaudoin: Just 14-15.
Robert Spingarn: Okay. 
Pierre Beaudoin: I am not sure it creates any confusion, our entry in service certification of platform is planned for the second half of 2015 so you know it's going to be more towards the end of the second half. So, you know, that's way this is not about delivery, but it's about starting production.
Pierre Alary: Right. That's far is coming from. Thank you, both.
Pierre Beaudoin: Thank you, Rob.
Operator: Thank you. Following question is from David Newman from Cormark Securities. Please go ahead.
David Newman: Good morning. 
Pierre Beaudoin: Good morning. 
Shirley Chenier: Good morning, David
David Newman: Just Tellier may be earlier days but any ideas that you can share with us in terms of where you are looking in terms of profitability and free cash flows for the company any early ideas that you are seeing come out pretty early but any thought?
Pierre Beaudoin: Well, good morning.
Pierre Alary: Today, early
David Newman: Good morning.
Pierre Beaudoin: Very early. Because I will officially start tomorrow.
David Newman: Roll your sleeves up get on it.
Pierre Beaudoin: I would be you know, I am very excited to join the company. I think it’s a great organization, very impressive product portfolio, leading edge technology and we are very strong brand. We -- what we have seen working with Bombardier over the years looking at Bombardier from the outside in clearly they have talented people, very capable organization. And we know that there's some execution challenges and Pierre has talked about that. So clearly that will be the focus and that will help us to drive margin improvement moving forward. So that will be one of the first things that we will be focusing on whether it's on the CSeries or on the new Global 2015. So clearly, that will become a priority. And then we'll work at other options as Pierre described as to what is it that we can do to improve the profitability of the business moving forward, both on the aerospace and transportation side.
David Newman: Very good. And just so one more for Pierre Beaudoin. Is a family participating pro rata in any equity issue, and was any consideration given at all to dropping the multi-voting shares?
Pierre Beaudoin: Well, first of all, on your first part of the question, when we go forward with an equity issue we state that for intention the family will participate and we'll announce that at a further date. But definitely, we believe in this company and we will participate in a significant way. Giving us the multi-voting share, no consideration to that. In fact, if you look at the history of Bombardier and all the great things we've accomplished to build the size of the multinational company we have, it's a very good thing that the family has been there to invest for the long-term and also be able to participate in key decisions for the year. So I think this is one of the strengths of Bombardier and we continue to support and push for the family involvement.
David Newman: Okay. And within the last one, within the equity was there any consideration given at all to sort of strategic equity partners perhaps the pension fund or something along those lines?
Pierre Beaudoin: Well, first of all, we said that we will be raising equity when the time is right. This is something, we intend to do. But we have to look at the market of course we will evaluate all of the opportunities. But we want to raise approximately 600 million of equity.
David Newman: Very good. Thank you.
Pierre Beaudoin: Thank you, David.
Operator: Thank you. The following question is from Ron Epstein from Bank of America Merrill Lynch. Please go ahead.
Kristine Lelong: Hi. Good mornings. It's actually Kristine Lelong calling in for Ron, this morning.
Pierre Beaudoin: Hi, Kristine.
Kristine Lelong: Hello. As you ramp-up production for the CSeries can you walk us through your expected inventory and aerospace tooling build for 2015 and also for 2016?
Pierre Beaudoin: You refer to tooling we've been ramping up tooling for quite a while already. The positions we start production, by production and the production will continue to ramp-up gradually and function as we expect to deliver.
Kristine Lelong: And for inventory?
Pierre Beaudoin: We are currently building up inventory and as we build inventory, as I mentioned earlier, for the first units we have net visible value provisions as we look at the same time as we build inventory, a small portion of what needs to be accounted for. And that is being done gradually and it will ramp-up as we progress towards.
Pierre Beaudoin: In our liquidity guidance, we see that the commercial is pass the new source from an operation perspective, and that includes the ramp up of CSeries. Of course all of the other platforms also better do and then we will give you guidance on the CapEx which is more related to the R&D or just dwelling what we call developing front.
Kristine Lelong: Great. Thank you.
Operator: Than you. Following question is from Konark Gupta from Macquarie. Please go ahead.
Konark Gupta: Hi. Good morning. Before I ask my question just a quick clarification, Pierre Alary, you said BA EBIT would be similar or is that BA EBIT margin would be similar in 2015 versus 2015?
Pierre Alary: EBIT margin.
Konark Gupta: Okay. So it will be…
Pierre Beaudoin: Aerospace world, on the pro forma basis we…
Konark Gupta: Right.
Pierre Beaudoin: We are seeing the structure so to out use we have a sense of the guidance that we’re providing as we don’t have comparative figures or pass on the new structures as well we’re giving you an idea that the BA forward to added for unit and then there is oldest structure that would be equivalent to EBIT margin.
Pierre Beaudoin: Here we intend to give specific take outs by…
Pierre Alary: So effectively, we are currently working on doing the comparative figures which we will provide at Bombardier.
Konark Gupta: Okay. Thanks. And how much is the CSeries dilution included in that?
Pierre Alary: Well, for 2015, 200 million.
Konark Gupta: 200 million. Thank you.
Pierre Alary: 200 million for commercial aircraft is mostly due to…
Konark Gupta: Okay. Thanks. So just my question on CSeries is how much of the CapEx guidance increase for 2015 is attributed to CSeries alone? And how much dilution you expect going forward beyond 2015 from CSeries?
Pierre Beaudoin: Yes, if you are looking at the variances mostly due to the CSeries as we had some increase in the business aircraft but also with the [indiscernible] could be attributed mostly to the CSeries.
Pierre Alary: So I just want to remind you unfortunately we had taken five months -- five months here and when we look at all of this of course we do -- we mature the five -- for those five months --. So that -- definitely it’s a -- manage for that time. But since it's back in place the CSeries are doing very well and we are just about 1,000 hours at this point and few weeks away from flying the CS300 so we are progressing very well.
Konark Gupta: Okay. And just on the last part, how much dilution do you expect beyond 2015 either on margin or cash flow, any sense you can provide on?
Pierre Beaudoin: Well, on 2015 we have provided the guidance.
Konark Gupta: Beyond 2015.
Pierre Beaudoin: Beyond 2015, no, we are -- our guidance is for the upcoming year and we are giving guidance for the first year.
Pierre Alary: For several years though we've been telling you that ramping up a commercial aircraft will be dilutive to the results --.
Konark Gupta: But we can expect at least beyond 2015 the dilution to increase right on margin and cash flow obviously as you ramp-up CSeries?
Pierre Beaudoin: The answer is yes. We can expect to take into consideration there's already an amount that is reflected in.
Konark Gupta: Okay.
Pierre Beaudoin: And it will depend on the volume we decide to make there for year at the beginning. So that's why this is all in the session with the various customers and looking at the entry into service. But again this is very typical of any ramp-up commercial aircraft, its just that in some company you don't see it mentioned in the balance sheet, but in unit cost accounting you see it directly at the bottom line.
Konark Gupta: So you also think that three year dilution is kind of reasonable to consider, right? Like profitability should not be achieved early in less than two or three years, right?
Pierre Beaudoin: One way you can look at it is, it's typically the program commercial aircraft would be dilutive until you reach -- your expected ramp up.
Konark Gupta: Okay, that is it. Okay, that's all from me. Thank you.
Pierre Beaudoin: Thank you.
Operator: Thank you. The following question is from Noah Poponak from Goldman Sachs. Please go ahead.
Noah Poponak: Hi, good morning everyone.
Pierre Alary: Good morning, Noah.
Pierre Beaudoin: Good morning.
Noah Poponak: I wanted to ask about globals and you know when I am staring at this order backlog in months of production slide, the globals length of backlog stands out as being relatively short here and your -- you'll be transitioning to a new product set. So I just -- I wonder if you can elaborate on how you are seeing that transition, or you need to bring global production down at some point, I don't know if you be willing to tell us what global production you are forecasting for 2015, but any help if you could provide there, it would be great?
Pierre Beaudoin: We don't give guidance for segments, business aircraft typically the volumes is going up slightly. I remind you we delivered 800 globals, 80 last year. The platform is very popular. As you pointed out right now we are little bit under the targets we’ve set for ourselves, but it’s hard to see that just after looking a couple of quarters. I see the underlying demand and it’s good for the Global. Of course we’ll adjust for market condition but I feel that the demand is good for the Global. We also have to consider that we have a new platform coming shortly as we started to assemble the first STB source. We are looking at balancing this out but I would just generally tell you that the demand for the Global looks solid at this point.
Pierre Alary: And maybe to remind that the on the graph that you referring to the platforms on the Global 7000 and 8000 are effectively excluded.
Noah Poponak: Right. Okay. Thank you.
Pierre Beaudoin: Thank you, Noah.
Operator: Thank you. The following question is from Chris Murray from AltaCorp Capital. Please go ahead.
Chris Murray: Thank you. Good morning. I wondered if you could give us some color on business jet sales. It was little surprising that the weakness of sales in the quarter. Is there something materially going on that led to some weaker sales in the quarter or is there something else that we should be thinking about.
Pierre Beaudoin: No, I think this is really hard to look at quarterly. Look at the backlog of Bombardier; it’s twice the size of any competitor although our competitors have also launched platforms in the vast term. So I think we are in a good position. So don’t read one quarter to the other. Look at the overall backlog. Look at the amount of orders we’ve accumulated through time and also look where we’ve modernized the platform like Challenger 650. It’s very, very strong platform the launch of the 650 is very well-accepted by our customers and you know program of the Global is very popular. So I think we are in a good position.
Chris Murray: I believe you have a book to bill above one for '15?
Pierre Beaudoin: We always target a book to bill above one and first we'll work on that with the team.
Chris Murray: Thank you.
Pierre Beaudoin: Thank you.
Operator: Thank you. The following question is from Turan Quettawala from Scotia Bank. Please go ahead.
Turan Quettawala: Yes. Good morning. I give my questions on aerospace for you guys, little guidance here for 2015. If I do the rough math here, it looks like you're assuming about $1 billion change, a positive change in working capital for the year. I know Q4 is a big positive, but when I look at the CSeries and the fact that you'll be ramping up, there should probably be a negative change in inventory related to that. So can you just talk about what you're assuming in terms of orders and so on and so forth? And how you'll get into your positive working capital swing?
Pierre Beaudoin: Well, typically, when we -- as we ramp up on inventory it has an impact on free cash flow as you refereed to. On the other side, we're having a big list of customers. And if you look at commercial aircrafts, I think that basically neutral in terms of capital operation, I think it does factor obviously the increase or the ramp up that we have on that. Now, on more global basis, we have positive working capital. It's always the element that is the interest that is being capitalized. The interest capitalized is added to the tooling but it's the spend that we anticipate. So we have to adjust on the other side on the working capital to offset accounting adjustments and that's about $300 million. So right there we've got $300 million positive, should like counting in between the cash flow from operations and the net investment for the free cash flow net assets. So that's the main component. And the like all of our senses -- all sort contribution and other component such as advanced some suppliers on various programs and also the government fundable amounts that are being paid or contributed as we progress in our development.
Turan Quettawala: I see so you've got a -- you are going to get something from the government this year is that what you are saying for EPR?
Pierre Beaudoin: From the original --
Turan Quettawala: Amount -- 
Pierre Beaudoin: …agreement but its paid as we spend with the percentage there is some proposition of what we spend.
Turan Quettawala: Okay.
Pierre Beaudoin: It's not only significant in itself but it's the same amount -- the same original amount which has the payment is in time, so it has a positive impact on us.
Turan Quettawala: Okay. And I guess, if I understand correctly the 200 million on interest capital what you are saying that has a positive impact on working capital? And then obviously added back to CapEx, correct?
Pierre Beaudoin: Yeah. So the -- on the free cash flow net is where it impact but the -- it impacts both component.
Turan Quettawala: Okay. Got it. Thank you. And then maybe, if I could ask one more quickly on the CSeries -- you always talked about the earn value on the CSeries I think the flight test hours going pretty well now about 40% of the total done. Can you give us a sense of even if you don’t share too much details there is a sense of whether that earn value is ahead or behind the 40%-ish in terms of the flight test hours right now?
Pierre Beaudoin: We are right now target to be able to certified as our guidance in the second half 2015, where we gave you a lot of detail on the -- in the website of the CSeries you know such as now we've completed flooder test. We are -- we have transfer the CS300 to the flight test team getting ready to fly in the next few weeks. So I think if you go there you will see that there is a lot of accomplishment on the development side and now we are getting in more and more to service station flying of -- I feel good that we are earning the value via certifying -- 
Turan Quettawala: Okay. Thank you very much.
Operator: Thank you. The following question is from David Tyerman from Canaccord Genuity. Please go ahead.
David Tyerman: Yes. I just wanted to come back to the business set order question. You only had a 129 in the year. I understand the quarterly variant, but 129 for a year that's a lot longer period and now you delivered 204, what exactly is going on in the business jet area, it seems to be have been weak for a quite a while for you?
Pierre Beaudoin: Well, I don't know why you think, quite a while. We have twice the backlog of our predators. Last year we were well above 300. So you know you have to look at that over time. If you look at you know this year 129 is a good number, particularly if you added to the big backlog that we have and that's what I would say at the U.S. definitely coming back as a strong market, which is always was in this aircraft, but now the economy is being doing well in the U.S. Of course these areas of the world last year that were not strong because of geopolitical issue. So, but overall the backlog of Bombardier.
David Tyerman: Okay. Thank you.
Operator: Thank you. The next question is from Peter Arment from Sterne, Agee. Please go ahead.
Peter Arment: Good morning, everyone. Welcome, Alain Question Pierre Alary, can you give us just remind us if there was any impact from the financing plan on the existing covenants or you meet any release on any your current debt?
Pierre Beaudoin: We’ve had discussion with our group’s banks and it is supportive of the plan and the support required to implement that plan.
Peter Arment: Okay. If I can sneak in just a last comment on the biz jet environment, Pierre, have you seen any behavioral changes from the collapse in the price of fuel in terms of those aircrafts that are in energy related corporations or seen any impact there?
Pierre Beaudoin: Overall, we always say business aircraft react strongly to good corporate profits. So if the economy is doing well, consumers have more money in their pocket because of the drop of the fuel price that’s very good for business aircraft. So I told you the demand in the U.S. is strong and continuing to increase, so we are getting back to what we were more used to in the pre-2008 on where the market is the strongest to U.S. So that’s the really good point. And I think as fuel price has a lot to do with it because it gives every consumer more money in their pockets. And it’s also really good for commercial platform as the airlines are doing well. They have stronger balance sheet. They expand for long term.
Peter Arment: Okay. Thank you. 
Operator: Thank you. The following question is from Doug Karson from Bank of America Merrill Lynch. Please go ahead.
Doug Karson: Great. Thank you very much. My first question relates to the CapEx guidance on slide nine. And it look at like the Aerospace segment combined, except for about a $2 billion CapEx spend in 2015 and this is quite higher than I thought that it would be at I kind of remember in investor day was a range of 1:2 to 1:5. I am not sure if that range has changed. And what’s kind of driving the increase.
Pierre Alary: The figures you quoted are correct and the particularly 2 billion in terms of guidance we discussed in ‘15. And the increase vis-à-vis what we had mentioned at Bombardier Day a year ago, I think the effect was mostly in relation to the increase for the CSeries due to the period that including five so we have been effectively delayed. You know when you look at when the issue on deals we have resolved and as you know that it was resolved that was three months and it took effectively four to five months in total before we got all the engine replaced and vehicles. That’s fully back in the air. But that explained the -- mostly variance between the two.
Doug Karson: Okay. Great. That’s some timing there. I’ve just one or two balance sheet questions and then I’ll turn it over. The potential capital raised on the debt, would that potentially earmark on the January 2016 bonds which $750 million, this is playing to kind of cover those bonds?
Pierre Alary: Well, the $1.5 billion is for general corporate purposes. Obviously, when we design our plan we have to take into account the bond view that's in January.
Doug Karson: Okay. That's helpful. And then, you said you had kind of talked to the banks regarding their ability to issue this debt. I guess there's some differences in opinion in the market in your ability to bring any secure debt versus unsecured debt. Is this too early now to think about that or have you thought about kind of what type of structure that this debt could be.
Pierre Alary: I guess it's too early. I guess what's important is that we -- there is market. We intend to raise $1.5 billion on new long-term debt in addition to approximately $600 million of new equity. And effectively we have here support the Bombardier group and we have the capability to proceed.
Doug Karson: That's great. And finally, I think you've said market conditions would be kind of when you'd look for this window, that's just something that acts like three months, six months, nine months. Do you look at internal kind of target when you'd like to it'd be in the market with these transactions?
Pierre Beaudoin: Well, you know, we -- I also commented at the beginning that in order to be in the position to act as a market when conditions are favorable, we have filed for the trial under any new regulation. That means that we can start anything that we're in a position to start. So we'll be looking again -- new equity, and then long-term.
Doug Karson: Great. Well, thanks a lot for the answers and good luck with some of the changes.
Pierre Beaudoin: Thank you, Doug.
Pierre Alary: Thank you.
Operator: Thank you. The following question is from the Walter Spracklin from RBC. Please go ahead.
Walter Spracklin: Yeah. Thank you very much. Good morning everyone. I guess, I'll start out here just by asking the broad question from a strategic standpoint, if I could kind of over simplify this strategy, if you bear with me for a moment. But essentially you've got a major program it's going to be you are targeting some good demand some good cash flow generation from it. And this financing plan is the bridge to get you to that point when you start delivering those aircraft and you -- you have a sustainable free cash flow trend going forward. If that's that case, then I guess the next focus point will be -- is there enough demand to have 100 aircraft to 120 craft delivered per year and you are -- you kind of stuck at that 250 level here now. My question is, did you get any direct indications from customers that they were concerned about the balance sheet, concerned about the liquidity level that perhaps that was holding back some orders, and how do you approach that going, are you going to be bring the CSeries now to perish, do you see a near-term ramp or you close to any new orders or but we still kind of wait and see mode when it comes to new orders for the CSeries?
Pierre Alary: First of all, we've always said that the target for intrusive service for the order is 300, we are -- from my perspective its 243, so we are on our way to 300 firm. It’s always been a number that was a focus because it’s a new platform. The airlines, that's get to build confidence in the platform. It's not like just replacing models for going in airbus or above establishing a new product in a new segment for us. But still we’re in a good position. What airlines you’re looking at this point is as the test program is advancing is really that's building their confidence platform we can demonstrates real performance not only on paper, but on performance of the real aircraft. So it’s more about right now hardware to watch and our belief that we are making significant progress albeit in central aircraft. So we can demonstrate that's now. So I think there is a good potential for us on a bus. So we want to get it at the right track.
Walter Spracklin: So will you have your aircraft in Paris, sort of curiosity?
Pierre Beaudoin: While, you know we are not going to pre-announced our marketing.
Walter Spracklin: Okay. Okay. Understood. If I could ask a question Alary, can you walk us through your motivations for coming over to Bombardier, I mean, what did -- what went through your mind? What was important Q in particular about flexibility, your own flexibility to do? What you want to do at Bombardier? How comfortable do you feel that you’ll be able to do effect some meaningful change? Or are we looking at more of a bringing new over as a very good executer the strategies in place, we don’t want any changes in that strategy. We just want to some of the strong execution go set and that's what you provide. Can you give us some motivations to what entice you over to Bombardier?
Pierre Beaudoin: Well, thanks, Brian. I mean, clearly like over 18 years which would be seeing and meeting Brad and then meeting you. That's driving the major consultation of internal systems standards, very successful integration, as you know. Well, its time for me to look for a new challenge. And if you look at the opportunity at Bombardier, it's an aerospace company. It's clearly a global leader in that transportation and aviation company that I know well. I've been working with Jeff for many, many years. So once Jeff and I started to talk about the opportunity, I got excited about that. I think that I can bring a lot to the organization, given my experience in aerospace, but my overall global leadership skill in a very complex global manufacturing environment, operating and technology. And the discussion with them was exactly about that. I mean what you expect from me? And it was a very good and open discussion. And it's very clear that they have this tremendous confidence and liability to come to Bombardier and help with the transformation process. Again, it's a great organization. We have good product and it's clear that there's some short-term challenges. But Pierre is giving me the ability to do what I need to do to make sure that we manage through these more difficult times and continue to be growing the company for long terms.
Walter Spracklin: Okay.
Pierre Beaudoin: I would add that at the end it's about having the strongest team in the business. So I think between me and L.A. we'll be able to address the challenge that we have in front of us and really build from where we are today and deliver on the promise that we've made with the new platform. The ZEFIRO 380 that’s getting into production I mean delivering in the next few weeks CSeries, the Global 7000, so I think in executive our experience definitely strengthens our ability to exit.
Walter Spracklin: Yeah. And certainly as reputation is very strong in the marketplace fore sure. If I could ask just one other question here, when you mentioned other aspects for sale, part of that strategy are bridging you over until you can get some cash from the CSeries, is what you have proposed in place in the equity and the debt market plus the cutting in the dividend sufficient in your view or do you also need to sell an asset to make that bridge? And then, if I would specifically look at what assets, if I would have look at your whole organization I know Pierre you had indicated BT there are some things going on there, but are there any areas that are secret that you would not look at what I’m considering -- would you consider the regional jets, would you consider Learjet jet, would you consider perhaps a stake of the CSeries, is any of that off the table? In stead of giving us indication what you might sell, is there anything that is near and dear to your heart that is just not up, not an option or some other things to disclose?
Pierre Alary: Before Pierre infer that question one thing I would like to put in perspective as you refer to a bridge on cash flow on the CSeries that financing plan is really to position more value to be flexible and have a strong financial profile. And it’s not a question of bridge, obviously it’s been outsource to bridge to the CSeries, its more that solidify and when we see that looking at asset its more in context of participating in the consolidation doesn't this really means we are going to sell. But we will participate in the consolidation now to really, can be the financing planning to get the flexibility, strong financially, that we can participate in the consolidation and you know position the company stronger for the long-term.
Pierre Beaudoin: No. It's about positioning the company strong for a long-term. So you know if I refer you to what's we have been doing for the last year, year and half, you know we decided to sell flex jets, because we didn't feel this -- we thought that there was time for us to sell to every fractional owner excellent business and flex jet we were able to sell flex jet. We sold our military aircraft training recently. So if there is more of that in the company we'll look at it, but when I spoke about consolidation its not about selling an assets, its about positioning our company, to continue to lead in different market and if the industry changing, what we wanted to indicate this morning, we want to be part of those thing, because we want to position our company to continue to lead for a long-term.
Walter Spracklin: Just to be clear, are you saying you could be year marking some of the proceeds of this for potential acquisitions?
Pierre Beaudoin: What I am saying is that, we would be consolidation in the industry. So like a transportation industry we are industry leader considering the merger of CSR and CNR what is the right move for Bombardier in the long-term.
Walter Spracklin: Okay. Thank you very much.
Operator: Thank you. Our following question is from Darryl Genovesi from UBS Securities. Please go ahead.
David Strauss: Good morning. It’s actually David Strauss.
Pierre Beaudoin: Good morning, David.
David Strauss: Good morning. Two questions. First of all on the CapEx side on the business aircraft side, higher than I would have thought there, can you talk about the progression from here to this, is this represent key CapEx spending on the business aircraft side? And then second question for Alain. Alain, welcome. Have you had any chance to really dig into this 2015 plan and do you personally endorse the plan or should we expect some modifications come on the Investor Day in March after you have a chance to really dig into it? Thank you.
Pierre Beaudoin: First part of your question with respect to the CapEx on the business aircraft. Based on is at the high levels to takes into account that fully into the Global 7000 and 8000. We have The Challenger 650. So we are also refreshing some of our platforms. So to take into account all of those elements is effectively at the high level.
Pierre Beaudoin: On the second piece -- good morning David. I have first to look at that 2015 plan we would be seeing, so I need to spend more and more time looking at it in greater detail. And that’s what I’ll do over the next few days. The analyst Investor Day that gives me few days to get ready for that, that will be my primary focus.
David Strauss: All right. Thank you.
Operator: Thank you. Following question is from Stephen Trent from Citi. Please go ahead.
Stephen Trent: Hi. Good morning, everybody. And thank you for the question and double thank you for the kind words you mentioned for Joe Nadol, he will be terribly missed. Just one question on my side, your competitors has been out there mentioning potential pick-up in commercial jet sales in Europe, decent demand in the U.S. and maybe some medium-term demand from results plans to stimulate regional aviation. And I am just wondering kind of what your thoughts are with respect to how you are seeing the commercial market potential at this time excluding the CSeries, let say 700 C segments?
Pierre Beaudoin: I think there is good opportunity in both the circle for us and the regional debt, and of course lower fuel price is -- it helps definitely this category, why the airlines doing better. They have better balance sheet to think of planning for long-term and they want outside a lot of their resell route. And second, of course the regional aircraft are even more profitable with lower fuel side. So I think it's a good time to go after opportunities, primarily, I would say North America but there is market where there is development in regional debt. We've seen good progress in Africa for example. We’ve seen demands coming from China where they’re starting to focus developing smaller regional airlines, but like I said the primary focus for this project still to do.
Stephen Trent: Okay. Well, I’ll leave it at that. Thanks very much.
Pierre Beaudoin: Thank you, Steven.
Operator: Thank you. The following question is from Brian Jacoby from Goldman Sachs. Please go ahead.
Brian Jacoby: Great. Thanks for taking my question. Just reading through your financials, it looks you have to have a vote on when you can actually expand this I guess the shares for the Class B. And it looks like that comes about towards the end of March. So does that mean that an essence you can going to the market with an equity deal and until that it's completed? Or can you actually go out there and raise it and then it gets I don’t solidified once that vote happens. Maybe if you could just touch on that. And is it likely that you’ll do both the debt in the equity at the same time? Or could it be potentially the credit markets first and then followed by equity or maybe just a little favor for that would be helpful? And then I had one quick follow-up question.
Pierre Alary: Yeah. Well, I think that you are right. We need to go to shareholders to get the approval to -- well, we’re both issue new share, but nothing at that level while I’m reading. So effectively we can go. However, there is part we were -- when we decide to go we can go as soon as say tomorrow because of the show access. And then we’ve a have a right put an next goal until we get the approval. Then on the approval of the shareholders, the family has some sort of agreement with this financing plan. And the family, we have 58%, and it needs two-third of the people, so something that we've done. It's obviously quite achievable. In terms of the -- way we would proceed, we'd obviously look at the condition of market, but the first step in our plan is to raise approximately $600 million new equity.
Brian Jacoby: Okay. So in essence, you can go out in market and equity deal, get commitments. And then, once you have the vote in late March, it would basically hit your bank account, so to speak. Is that a fair way to look at it?
Pierre Alary: It is a fair way to look at it, yes.
Brian Jacoby: Okay. And then, the second question is just around, you know, you talk about consolidation and it sounds like in the transportation side you're bringing that up. I mean you're the leader there. One would question, may be there could be some regulatory hurdles if you were to try to combine your business with number two or three or four player out there. So, when you talk about consolidation I guess there are those regulatory hurdles. So, are we thinking about it right, or are you talking maybe partnerships, or all things are on the table but not right consolidation with another player. You still would probably encounter some major hurdles unless I'm reading it wrong, but may be you could shed a little bit more light on that that's be helpful.
Pierre Alary: I just used transportation as an example because of what has happened. China, by diverging PSR and PNR, they informed the company that's above $20 billion in sales. So as we look at opportunities, as you say the leader outside of China Bombardier we need to consider everything that you put on the table, regulatory consideration. But I think this market is changing and how do we position our company to continue to lead this industry, that’s what it’s all about. But at first there will be all times of consideration, before this could take place and it is the right thing to do. I’m just saying lets look at it. We are open to looking at it step by step.
Brian Jacoby: Okay. Great. And the rating agencies I am assuming around these plans by the rating agencies I’m just curious on how those talks have gone, and what you are hopping for there?
Pierre Alary: Well, we had ordinary discussion with the rating agencies and obviously as we unfold the fund with new equity, equity for them is very positive.
Brian Jacoby: Okay. Great. Thanks for taking my questions.
Operator: Following question is from Cameron Doerksen from National Bank Capital Market. Please go ahead.
Cameron Doerksen: Yeah. Thank you very much. Just coming back on the business opportunities, could you please give an update on where you spend with LOI with Nantong, Tongzhou Bay Aviation and whether you could eventually build an assembly line? And also on the CSeries front, I am wondering whether an equity participation with China is something that could be hard as the business opportunities we are looking at down the road?
Pierre Alary: As your first question like -- I think you are referring to the Q400.
Cameron Doerksen: Exactly.
Pierre Beaudoin: Like we said last year, we evaluated a opportunity to do an assembly line in Russia, you are talking about Chinese potential for the Q400.
Cameron Doerksen: Yes.
Pierre Beaudoin: You know what like we do every time we will -- we are continuing to evaluate the market and the best way to participate in this market, in the most significant way. If that requires an assembly line this is something we would look at. So I don't want to say, we're going to go in one direction or the other. I think you know the Chinese market will be very large for turboprop and we are just looking out the best participate in this market that LOI is part of evaluating the underlying events for Q400.
Cameron Doerksen: Okay and what about the potential equity interest in the CSeries with China this year?
Pierre Alary: Well you know I don't want to speculate one way or the other I am just saying that in commercial aircraft we have a very strong platform to this Series and if there is an opportunity for us to make it you know participate in the large market like China or others we would look at it.
Cameron Doerksen: Okay. And quickly on the global, just looking where you are on the 7,000, 8,000, what makes you confident to do the CIS in 2015 given your past experience with your Learjet 45 Challenger entry and also given the complexity of the program?
Pierre Beaudoin: Well first of all you know we give out many platforms at Bombardier and very successful platforms and the global also some very unique features in terms of speed and of course the new engine from GE, will also chase a lot of commonality in mature system from the CSeries and as by wire the Avionics is from the Global, so we will look at all of this. I think we understand that the challenges that the reference schedule and we feel confident to continue with the plan that we had two years ago.
Cameron Doerksen: Okay. Just lastly on the CSeries have you signed up your launch customers there?
Pierre Beaudoin: You are referring to the first deliveries because the first we have -- you are referring to the first deliveries?
Cameron Doerksen: Yes.
Pierre Beaudoin: We have not announced that at this moment.. 
Cameron Doerksen: Thanks for the time. 
Operator: Thank you. Our next question is from Deepak Kaushal from GMP Securities. Please go ahead.
Deepak Kaushal: Hi. Thanks. I just want to ask questions I don’t know if it’s been asked earlier I jointed late. Perhaps Pierre I was wondering if you could shed some light on the Aerostructures and Engineering Services part of the business. Is this now structured so that it could actually one of the standalone business, and perhaps you could shed some light on the 1.8 billion in revenue that you are expecting, how much of that is related to new program development versus sustaining programs? And how much of that is related to external revenue and what’s a potential for growth and margin expansion here? Thank you.
Deepak Kaushal: Yes, it’s a standalone business. Of course we are still working with the service agreement between our internal group to make sure it really has a standalone approach, but in a day-to-day as far as pricing is concern with two divisions all of this, this is all in place. As far as the revenue 25% is from the outside and this is what we want to expand. We have unique technology. There is big programs out there of aircraft either developed before existing aircraft or they are looking for reliable suppliers. We have good relationship with the major airplane builders Airbus and Boeing and we can participate in different program. So we are confident, right now, the advantage of having standalone business is -- there is not only a focused on the internal business. But there is a lot of focus right now to see how we can leverage the technology that we developed over the last year.
Deepak Kaushal: Okay. And when you look at the competitive environment in that space, externally, how does that shake out where would you guys find yourself on that higher key and does this become a business that you put more capital into or is it becomes source of capital that you can put back into your core commercial program of aerospace?
Pierre Beaudoin: If you look at our competitiveness, we constantly rank as one of the best supplier in the industry to deal with other aircraft. So we have high quality people in that group that really understand that what needs to be done to deliver high quality parts. We have great technology, so I think it positions us well to win some business but it's we have such a broad portfolio from the sale to cockpit to use large, electrical harness, so I think at Bombardier Day we will give you more visibility and where is our focus but it's something that yes definitely will expand over the next few years.
Deepak Kaushal: Okay. Thank you very much for that. Appreciate it.
Pierre Beaudoin: Thank you.
Operator: Thank you. Following question is from Cameron Doerksen from National Bank Financial. Please go ahead.
Cameron Doerksen: Yeah. Good morning. Just want to dig a little deeper into transportation. Just wondering if you can maybe explain why we are only seeing slight improvement in the EBITDA margin in BT with I think that in 2014 there was quite a few adjustments on contracts, is this just really just the new carry through of that into this year? And I guess to follow-on to that would be how comfortable are you still with being able to reaching 8% EBIT margin in transportation over the long-term?
Pierre Beaudoin: Yeah. Well, definitely the fact that we still have some contracts that's our lower margin effects on margin of transportation. But at the same time this year we made a decision to increase the R&D budget and increase the staff of the Chief Technical Officers, CTO office. And we also increased the program management and also we are investing in the IT platforms of transportation. So yes, we choose to have effective margin this year, in order to show more consistency over the next few years and to be able to build force expert task in a consistent way. So that's the choice that we made is to effect the short-term of the margins. So, first thing at the similar levels for this year, but making the right investment, right now to position our business to get the 8%.
Cameron Doerksen: Okay. Certainly, it makes sense. Just housekeeping item here, on the foreign exchange Canadian dollars moved quite a bit here, I know you have got significant hedging contracts out there, but can you maybe quantify what you think the tailwind in aerospace might be on foreign exchange this year?
Pierre Alary:
Pierre Alary: I suppose 2015 we have about 80% is hedge. And its hedge at the rate of $0.94, so that's part of the situation so it is depending on obviously on the fast rate will benefit more on this fast rate than the hedge. But it is clearly positive and the impact year-over-year for '14 effectively positive impact that we had.
Cameron Doerksen: Okay. Thank you.
Pierre Beaudoin: Thank you, Tom.
Operator: Thank you. Our following question is from Ron Epstein from Bank of America Merrill Lynch. Please go ahead.
Kristine Lelong: Hi. Good morning. Actually it's Christine again for Ron.
Pierre Alary: Hi, Christine.
Kristine Lelong: From your earlier comment you mentioned that the CSeries breakeven point is one of the programs, is that old production rate? So can you provide more color on key considerations you're looking at when deciding what that ramp reach look like. And basically, are you planning to build capacity based on what's already in your order book, or you're planning to build capacity based on an internally figured number? And how far are you're initial target of 120 aircraft per year?
Pierre Beaudoin: Well, from a capacity perspective, we've always been clear that we set up the business initially to be around 120 a year. The ramp up has to do a lot more with our ability to really manage the ramp up in a really well-planned way. The certification of the aircraft and how much is their modification that we will need to make. And also a really good plan of ending the service to make sure that our initial customers really see great performance in the reliability factor. So the first, at the beginning it's about the CS100 then we're going to introduce another aircraft as CS300. So right now we're looking exactly how many -- how much volume we want to build in the initial years. So I don’t want to give you priorities on that, as they will also vary depending on our customers needs.
Kristine Lelong: Thank you.
Operator: Our following question is from Noah Poponak from Goldman Sachs. Please go ahead.
Noah Poponak: Hi. In an earlier question I guess you were asked as the financing plan is a bridge to a better cash flow period and I think you said no. so I guess I’m sort of wondering is that’s true, why is your equity and what is the thought process behind issuing equity, because the leverage metrics even after you add 1.5 billion and 750 are -- they are not the lowest, but they are not the highest either. And so I read the equity raise to mean you must see another year of negative free cash flow in 2016, or 2017 or lower EBITDA, so that the denominator of net debt EBITDA metric was tougher in 2016 or 2017, is that not a fair interpretation of raising equity and if its not then why did you?
Pierre Beaudoin: No its not. My comment that it’s a real bridge more than its comprehensive financing fund and the objective is to why nobody would expect to build strong financial profile. And we believe that we have right things to do at this stage to raise equity together with that in the balance way effectively to have a strong financial portfolio. At the same time position ourselves to explore other initiatives to get -- and financial participation in the industry consolidation.
Noah Poponak: Good, but what is equity get you, that the debt piece what end, if you didn’t think your leverage metrics could go even higher beyond 2015?
Pierre Beaudoin: You know, I am looking at the leverage, you are surprising me, but sort of an extent I think that the leverage is not -- could be higher, you know if we want to have capital structure that is well balanced and it will balance the leverage there is going to be maximum level that -- and it could lead to have proper balance. And we believe that the right answer and the right thing to do is to I think we is the equity level, to provide us the flexible way and having a stronger financial book.
Noah Poponak: Okay. Thank you.
Operator: Thank you. Our next question is from David Tyerman from Canaccord Genuity. Please go ahead.
David Tyerman: Yes, just a question on the Aerospace margins, so they are fairly low especially commercial, what is a take to get the margins up and living aside the CSeries, what does it take to get the margins up, is it volume or efficiencies or what is that?
Pierre Beaudoin: Definitely volume and efficiencies but the main rightful effect mainly the commercial is the ramp up of the CSeries but I would been to think this is an overall positive, because this is a program that will be in for at least 20 years. You should always understand that the initial years are ramping up to commercial aircrafts is dilutive. And you can see that any number of aircrafts certain factors, now some of it don’t send to the P&L, they will send it to the balance sheet, so it’s a same difference. We have a lot of transparency. 
David Tyerman: And on the business jet side?
Pierre Beaudoin: What’s your question on the business?
David Tyerman: The same thing like 7% is okay, but it’s not particularly high especially compared to some competitors. So I just wondering what is it take to get there or should we not expect the margins to move much on that side?
Pierre Beaudoin: We definitely get the competitive and we are focused in building this supply chain of business aircrafts. It’s a bit little bit about pricing, but it’s mainly about being more efficient in what we do everyday, but there is a big focus on our team to bring this as far as enough. 
David Tyerman: Okay. Thank you.
Pierre Beaudoin: Thank you, David.
Operator: Thank you. Our next question is from Deepak Kaushal from GMP Securities. Please go ahead.
Deepak Kaushal: Thanks for taking my follow-up call, I appreciate that. Just to follow-up on David’s last comment. Is this to imply that in commercial aircraft that the non-CSeries aircraft programs are about breakeven? And then my main question is really on CSeries pricing. Pierre you mentioned earlier you want to get a good price for the CSeries aircraft. In the past few years Airbus and Boeing have been incredibly competitive on pricing from what we’ve heard. Are you seeing some respite in that? Now that their backlog is somewhat filled up or have you reevaluated your pricing threshold on CSeries in light of new market conditions, and that’s it for me. Thank you.
Pierre Beaudoin: When I refer to pricing us on CSeries, yes we have better services with bigger aircraft, like you its been aggressive their pricing strategy, but the pricing of the CSeries has a lot more to do, with the fact that we have not delivered one aircraft yet, and the airlines will take a prudent approach towards submitting towards the platform that is all new from a manufactured and that's not been made. So when I make those pricing comments, it all relates to that. Of course as we progress, the flight test program we can knock off some of those arguments, because we could show the performance of the platform we can show our plan to entering the service and we could present schedule of delivery that is back-up by well advanced flight test program. So that's more has to do with that, I would like to remind you that, either Boeing or Airbus not really have a competitive platform for the CSeries when you look these platform, particular 319 compared to the CS300 its from a sheer class perspective its not even in the same category.
Deepak Kaushal: Okay. And then on, on the commercial aircraft program that non-CSeries if the EBITDA margin loss next year is primarily related to CSeries does that imply breakeven for the Q400 line and CRJ lines is that a fair assumption?
Pierre Beaudoin: We provided is that far as we would go, in terms of we don't provide guidance by 66 programs, we are already providing a lot more visibility in businesses and we won't go forecasting.
Deepak Kaushal: Okay. Thank you.
Pierre Beaudoin: Operator, we have any more questions.
Operator: We have no further questions at this time.
Pierre Beaudoin: Thank you. So we will now begin the question period for the media representatives. Operator?
Operator: [Operator Instructions] First question is from [Marie] [ph]. You have the microphone.
Unidentified Analyst: Hello, Mr. Beaudoin. Here is my question I would like to know what your plans are as you are now Chairman of the Board? Do you have anything else to tend to do in terms of your professional activities?
Pierre Beaudoin: I have maintained important function within Bombardier. And I will team up with our alliance make sure that we are truly carrying out all the plans before us. My energy will be devoted to Bombardier and in supporting alliance to deliver programs for the fall.
Unidentified Analyst: And here is my another question. How did it happen? Did you just call Mr. Bellemare, let's have dinner?
Pierre Beaudoin: Yes. When the announcement was made at UTC, we’ve known each other for years. We have a good relationship. And I think he is a kind of an executive that will be a major plus to Bombardier. And we sort of discuss how we could draw him to come over to us.
Unidentified Analyst: Thank you. One last question. This one to Mr. Belmar. You said you just arrived recently. You're bit still outside of the company. Will it be more difficult for you to divest yourself for certain aspects of the company UDC.
Pierre Beaudoin: Well, divesting -- this is my answer. It's not really as much as divestment from UDC, but working together with Pierre to make sure that our program today is 7,000, 8,000 building series and the CSeries will really be very successful worldwide.
Unidentified Analyst: Thank you.
Operator: Next question is from Paul Vieira with The Wall Street Journal. Please go ahead.
Paul Vieira: Can you hear me?
Pierre Beaudoin: Yes, we can.
Paul Vieira: Okay, okay. Thank you. I want to ask -- I want to again go back to timing here. How long have been negotiations been going on for Mr. Belmar to join. Was this happening before the January '15 statement on Learjet and guidance for 2014? How many -- when and why were the decision taken -- why was the decision taken for Mr. Belmar to come in. Was it to address concerns in the marketplace that management had execution issues regarding execution and to hopefully address those issues and provide a boost to the share price?
Pierre Beaudoin: Well, I approached Mr. Belmar when he left this year. I know I like for many, many years. I know he is a very strong executive, understands aerospace very well, understands manufacturing very well and his reputation points to a great executors. So I saw an opportunity for Bombardier, so it was my decision to lay how do we sit together and have a discussion to bring even more strength to the Bombardier team and that’s what we decided to do over our landscape.
Pierre Alary: And that’s very consistent with what Jade just said and when I decided to live the organization soon after Jade reached out to me and we decided to sit down together and obviously given my experienced in aerospace and the opportunity here at Bombardier was a strategic fit for me to join Jade and his team to add organization continue on a successful journey moving forward. So I mean that’s as just simple as that, so I decided to -- so it was time for me to do something else and Jade saw the opportunity and we quickly converge on the solution and I am excited about that.
Paul Vieira: Okay. Well I had a follow-up and maybe other will address it other media members will address. I’m a bit confused about this whole third tenant of the financing plan about you look at other opportunities, and you’ve talked about one aspect its perhaps sales, but then in another we are talking about mergers or even Bombardier making an -- maybe Bombardier making an acquisition as part of the consolidation process. I’m not clear. I mean is the third tenant about raising more capital in order to fortify the balance sheet or is Bombardier looking to take out a competitor, I bit confused and I really would like as much clarity as possible as to what you mean in the words in that statement about other opportunities?
Pierre Beaudoin: I would refer you to our press release. I think we are quite clear there. We are looking how to compliment our financing plan and we feel the time for us to explore if there is certain business activities that Bombardier should participate in consolidation of the industry and in the end of the sentence we say in order to reduce debt. So that should be quite clear. It's not that there is a business segment meant for sale. Its more there is key opportunity today and we think we should participate if the conditions are right. We are world leader in many sectors and some times it is time to see, if there is a way to see map to be an even stronger world leader.
Paul Vieira: I think that was -- that is it for me, but if you say you are reduce debt that would imply than a -- that would imply that you are raising -- that would imply your sale in order to payoff, in order to reduce long-term debt, no or am I reading that wrong?
Pierre Beaudoin: It would not clearly imply our sales, what I am saying if there is consolidation in the industry we think -- you could do both and look at consolidation and reduce expenses.
Paul Vieira: Okay. Thanks.
Pierre Beaudoin: Thank you.
Operator: Thank you. [Foreign Language]. Next question [indiscernible]. He will say in French.
Unidentified Analyst: Hello Mr. Beaudoin can you hear me?
Pierre Beaudoin: Yes.
Unidentified Analyst: Why did you decide that you are handing over the reins to Mr. Bellemare.
Pierre Beaudoin: As I said earlier he is an executive of experience who knows the aerospace industry very well. And when I sat down with Alain it was just an opportunity for us to strengthen our management team to make sure that we’ve got the right team to execute the work that needs to be done. And I’d like to remind you I will work hand and hand with Alain. So that he has a necessary to doors to deliver all these new products we were talking about and lead on in our roads for the looking forward. 
Unidentified Analyst: You talked about your finance plan and possible consolidation my colleague who spoke before me mentioned that you even said this is possibility of selling something? 
Pierre Beaudoin: No, is the answer, I never said that it was possible that I said it was possible to consolidate within the industry. Look at our company consolidate would really better off if we actually benefited from consolidation if we may use of those possibilities. To better illustrate what I want to say I used transportation. When we look at our company we are focused on certain factors. 
Unidentified Analyst: Another analyst said did you think about possibly having Chinese get involved in the CSeries? 
Pierre Beaudoin: I said we always look at the best way to get involved in those big markets and the Chinese market is the important commercially aircraft market. And if we think that would be to benefit the CSeries program if we were to establish the partnership well this is something we are always open to and ready to look at.
Pierre Alary:
Pierre Alary: Thank you Mr. Bellemare. Another question what motivate you to join Bombardier, I know you already mentioned before but would you reiterate that?
Alain Bellemare: Hello, yes. First, Bombardier is a very good company and if we look at their product line they are well known worldwide. They have differed product we sell product throughout the world they are World Class Company. When it comes to aerospace or transportation for that matter so for me, the company itself was reason one to attract me. And secondly when we look at their aerospace portfolio which is the sizeable one this is something else that's important to me, I have more than 18 years of experiment with United Technologies, Pratt & Whitney's Technologies. So Bombardier is a company with great creditability, a sizeable economic impact to Montreal, Quebec and Canada. And given all the above, when you combine saying is excellent company, I know they had a bit of difficult time for certain products but that happens, and then you get over it, aerospace portion, important. When we look at rail and the technological aspect of that business technically that also interest to me, this company this year in Canada. So I put all that together and when I discuss that it was a very right decision for me to come back to Montreal.
Unidentified Analyst: So in the light of your experience you talked about the company’s difficulties, now what is that you want to change so as to put Bombardier on the right track so to speak?
Pierre Beaudoin: Well, I think in both case you are not being funny, are you with your putting here on the right track. But as I said earlier there are certain things that are quite obvious, this is a company has excellent product. The brand is well-known. The challenger to it global when mobility is done to help the regional jet market along, yes, this company has a lot of capacity and capabilities that's in the aerospace. Now rail transportation or transportation per say, they are world leader. When I look at the challenges, yes, we have some in the short-term. Pierre will discuss that. In most cases it comes to program execution. This is something we can work on very quickly. And we will address the matter as a team with all the people working in that area. We have short-term challenges, but we have many long-term opportunities. And I’m convinced as we work with the various teams, we will the winning strategy to bring our organization in a positive position moving forward.
Operator: [indiscernible] please go ahead.
Unidentified Analyst: Thank you. Mr. Beaudoin, in the financials you said that you expect to see the CSeries certified this year. Does that mean that you still expect the entry into service this year, or has that flipped to next year actually?
Pierre Beaudoin: No. We haven’t changed our guidance entry into service, but the first step is certification, so sometimes I use both curves, but we haven't.
Unidentified Analyst: Understood. Thank you. If I can just follow-up, what is your current cost estimate for the CSeries. There's been a few different numbers splitting around I just like to clarify.
Pierre Beaudoin: The total cost is 5.4.
Unidentified Analyst: 5.4, so that's gone up from 4.9?
Pierre Beaudoin: That's based on the 4.2.3.
Unidentified Analyst: Now it's 5.4. Tell me a little bit about what happened there?
Pierre Beaudoin: As we said, the cost of the development of CSeries has gone up. That's also five months down time, which of course, affected the cost of the program. But at this stage I feel that we're doing very well in the advancement of the program. We're progressing. We're just had about 1,000 hours, so the program should be made on the platform. Yes, it's more money, but we have an exceptional aircraft that delivers on our exceptional or even in some cases, exceeds our expectations. So this is an investment we're making for at least 20 years, so I feel very excited about it.
Unidentified Analyst: Thank you.
Operator: Thank you. Following question is from Nicolas Van Praet from The Globe and Mail. Please go ahead.
Unidentified Analyst: Good morning. Just to clarify the 5.5 billion that you just mentioned is that US dollars?
Pierre Beaudoin: Yes it is.
Unidentified Analyst: Okay. And did you -- have you already left UTC when Mr. Beaudoin approached you or you just trying to figure out the timing here did he kind of couch you from that?
Pierre Beaudoin: Good morning. Absolutely yes. I mean I had made the decision to live company and thereafter he reach outs to me it was aspirated side of the business.
Unidentified Analyst: Okay. Just after.
Pierre Beaudoin: I would say that Jade was pretty quick.
Unidentified Analyst: Okay. Mr. Beaudoin maybe you can talk about some motivation of -- Beaudoin to retire at this time why right now?
Pierre Beaudoin: He build this company over the last 50 years, build an amazing company with 24,000 employees, that sales in 60 country is vision leadership has giving is extraordinary company and for him after 50 years leading us, it was time for him to move on you would see on the Board as Chairman, but I think you can understand after that many years he certainly deservers a break.
Unidentified Analyst: Sure. And maybe finally there have been some concerns reading about anyway about how your recent staff changes have impacted potentially your sales people and can customers and client kind of confused, I wonder if you can address that a little bit, do you feel like you have the right, sales and marketing people, and enough sales and marketing people in place right now, specifically on the Aerospace side?
Pierre Beaudoin: I don't -- if you -- you must be referring to only a sector of this. I guess commercial aircraft where we had a change in the leadership of sales?
Unidentified Analyst: Yeah, mostly that, it's right?
Pierre Beaudoin: Of course we have very, very strong sales team in at commercial aircraft. We have a strong sales team at business aircraft we huge sales team at transportation. Sometimes there is changes in executives and you know that happens and we look for replacement, but it has not effected our positioning in terms of sales. We have a strong team -- we have a strong team under at commercial aircraft.
Unidentified Analyst: Okay. And did I hear you maybe just finally saying that the breakeven unit volume for the CSeries is 120 per year, is that correct?
Pierre Beaudoin: No. No that's not what we said.
Unidentified Analyst: Okay. Is there a number that you've given?
Pierre Beaudoin: No, there is not. We said there is a ramp up period and if once we get to a regular production level or expand production level then we start looking at…
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. The following question is from Vanessa Lu from the Toronto Star. Please go ahead.
Vanessa Lu: Yes, good morning. I just wanted to follow-up and just ask Mr. Beaudoin what is it a difficult decision for you to take -- to move to the Chairmanship and is it better sweet to ask the code?
Pierre Beaudoin: Well, for me it’s about doing the right thing for the company. At this time we have great opportunity in Alain being available. I know Alain for a long time and not only that I feel that he has balanced and the experience to contribute the Bombardier’s success, but it’s also the fact that we know each other very well and that’s we put together too many different opportunities to sign. So it’s about team work and I thought there was great opportunity and it’s the right thing to do for the Bombardier at this time. So that’s all I feel about this.
Vanessa Lu: Okay, great. And if I could just squeeze in a little question around -- specifically around the TTC -- cards, there has been quite a delay in delivery of it. Are you able to talk a little bit about what the issues were, was that faulty parts or some problems with the steel -- street car’s frames from Mexico?
Pierre Beaudoin: I don’t know the specific about this contract, so we should refer you to our team of transportation but I know as far as street cars are going to be an exceptional product.
Vanessa Lu: Okay. Around the delivery schedule or anything like that?
Pierre Beaudoin: We said we’ll get back to you with our transportation team.
Vanessa Lu: Okay, excellent. Thank you.
Operator: Thank you. Next question is from Daniel Bordeleau of Info Aero Quebec. You have the floor.
Daniel Bordeleau: Good morning. I have a question with respect to the 5.4 billion for the CSeries that you mentioned and this is due in part to the delays in the engine development could you recouped some of the additional cost of this engine accident from Pratt & Whitney?
Pierre Beaudoin: We are definitely in conversation with -- in discussion with our suppliers and these discussions will continue over the next two years. This is a major partner on our platform, commercial discussions between ourselves and our suppliers are of confidential nature.
Daniel Bordeleau: Very well. Another question for Mr. Bellemare who knows that the aeronautic industry very well, it's been said quite time aerospace industry
Pierre Beaudoin: So after the 300 Series is there any thought larger planes of 150, 160, 180 seats, will this be part of your future project in your new charges.
Pierre Alary: Good morning. First of all, we are working on Series A and 100 and 300 rather, and to complete the certification process for these and then entry into services as rapidly as possible to be priority number one. But in the longer term do you see any -- do you foreseen this subsequent steps?
Pierre Beaudoin: It's must too soon to talk about it, it would be just speculation. I think we know what we have to do with the short-term basically in engage our people to do the right things and make sure we have two wonderful platform that will entry into services as soon as possible.
Daniel Bordeleau: One last question, if I may for Mr. Beaudoin, with respect to the Boston subway contract that you lost, and you are contesting that decision you are challenging that decision. The pricing element in this case is the discrepancy between Bombardier or the differential between Bombardier and the CNR, the Chinese Supply Food start the contract with the $580 million where as you bid more than a 1 billion for the same thing, isn’t this time that there is the serious problem at Bombardier Transportation. The fact that you’re losing a contracts with such a huge…
Pierre Beaudoin: Order?
Daniel Bordeleau: Spread.
Pierre Beaudoin: Specifically, it shows also to-date.
Pierre Alary: Well, we kept that thing because we want to ensure that everything was done by the growth and it will be up to the court to decide that. But we also win a lot of contracts in China against these same competitors. Therefore we do make sure that we are competitive some time, there are rate is spread like this for different reason. But we ensure that we are competitive throughout the world.
Daniel Bordeleau: In this specific context, is it your opinion, I mean, do you feel that it's normal that you are almost twice the price in your bid as the winning bidder.
Pierre Beaudoin: I can comment as to the price of our -- of a competitor. We thought that our price is competitive and it allowed us to deliver the product with the positive effect side and within schedule and at the stage. Bombardier is competitive across the planet.
Daniel Bordeleau: Thank you very much.
Operator: Kristine Owram from The National Post. Please go ahead.
Kristine Owram: Alary, I know you’ve already addressed this in French. I just wanted to re-ask in English. What your first priority is going to be when you come in starting tomorrow? What's the main thing you want to change?
Pierre Alary: Well, the first thing that I want to -- good morning. The first thing that I really want to do is like same time with the same sponsors and executive who we are obviously as good as new. I mean to say an outside looking in-view and I want to makes sure that I really don't forget where we are at, what the opportunities, what are the challenges, we're closing with the team to reshape or modify or improve the bond, so that we can deliver on our customer commitment. So I think that that will be my first priority. And obviously, it will be focused around like the new programs like Global 7000 and 8000, but with CSeries there are 100 and 300. And then I'll be working with them to see what else need to be done to ensure long-term success for company.
Kristine Owram: Okay. And just to conform or quantify what you said earlier, is it safe to say that you think that the biggest challenge is to improve program execution.
Pierre Beaudoin: I would see there's clearly a challenge on that front. At the same time, huge progress has been made. If you look at where we are now on the CS100, clearly most of the development is done and we are in the certification phase, so moving close to entering the service. So it's clear that there has been some execution challenges. But I think that we're getting pretty good traction. They have mentioned there's close to 100,000 hours of flight S now going towards more certification of the CS100. But I think we're getting good traction, but again I want to know that over the next few days better understand the details, and if we have fine tune the plant we will do that. But I feel that things are starting to get traction.
Kristine Owram: Okay. Thank you.
Operator: Thank you. Following question is from [indiscernible]. Please go ahead.
Unidentified Analyst: Could you tell me if WestJet canceled its order at the end of the year and whether that may have factored into the decision to pause the Learjet 85? And then if I could second question, could you provide a little more color on the progress of the Global 7,000 and what key milestones you may expect over upcoming months?
Pierre Beaudoin: So I think they did not canceled the order of the Learjet 85 before they announce. Of course right now we’re in discussion with them as the customer of Bombardier. They have large fleet of our flights. We’re looking at what is best for Flexjet going forward. For the Global 7000, we have started the assembly of the first flight that is equal and that’s progressing very well.
Unidentified Analyst: Thank you.
Operator: Following question is from [indiscernible].
Pierre Beaudoin: [Indiscernible] you have the floor. Good morning.
Unidentified Analyst: I am trying to understand the new financing plan. Its nearly $2 billion that you are trying to raise, it’s about half of your market cap? Will part of that money replace existing debt or do you rather mean to use it to eventually add debt in the former security?
Pierre Beaudoin: Now looking at our plan, is an overall plan with many components. The first is equity assessment in the tune of approximately $600 million and following that we will raise that the 1.5 billion in new debt capital. Looking at the overall spend this is meant to ensure that Bombardier has required flexibility and as well as the financial strength to position itself adequately and one of the components of the plan, is that been key initiatives and notably potential participation in industry consolidation. Looking at the different amount that have been rolled out is part of our overall plans to position ourselves well in the long-term, taking into account the maturity -- the debts that will count -- $750 million.
Unidentified Analyst: Now in this test 750 million will be used to reimburse this test or will it be reinvested?
Pierre Beaudoin: Well we have the equity component, the new equity that is the long-term debt capital and in fact that we are suspending the same in as dividend further for now for Class A and B shares and the potential participation into this free consolidation. So all of this plan element put together, well understand that I am try to simplify the question. In the 2 billion that you intent to raise will the $750 million be used to reimburse test and to the -- you know our plan $750 million are taken as quite down.
Unidentified Analyst: Can you talk about using some of the assets to reimburse debt. If I take the transportation factor and I tell you is that asset are bring into a consortium and I asked partners for money in exchange for this participation because this is safe. Is this possibility that is being examined?
Pierre Beaudoin: We say that we will be examining any potential opportunities deriving from such a review. And what you described could be part of the consideration to come for it. 
Unidentified Analyst: You feel that your leverage -- your indebtedness will increase over the next few years. Basically it’s liquidities to cash flow deficit. Do you think that this will maintain the debt or raise the level of indebtedness?
Pierre Beaudoin: I think it may raise the debt up to 1.5 billion. Yes, we are talking about new guess in our overall. The government will ask if we consider to the best. No it is long term Class. This is the element that could raise the debt but otherwise it should actually beat this. Thank you.
Operator: [indiscernible] from The Canadian Press. Please go ahead.
Unidentified Analyst: Mr. Beaudoin you said first of all that you only approach to Bellemare. After he announced his departures from UTC. I am wondering if this something you and your father -- this change something you and your father had contemplated for a while before that and if Mr. Bellemare hadn’t been available or wasn’t interested, would you still have been looking to make such a change?
Pierre Beaudoin: The decision I made with -- I approach a Alain after the announcement at UTC, I think there is an opportunity in front of us with his experience and talent in the industry. He's is well known frontier face in the industry. I know he can execute very well, so I stand opportunity and I made recommendation to our Board.
Unidentified Analyst: So it's not that you had been considering before hand, before his availability?
Pierre Beaudoin: So the opportunity that I took when Alain become available.
Unidentified Analyst: All right. And was this decision an accelerated by some of the concerns that been raise about your leadership I guess?
Pierre Beaudoin: No. I doesn't have anything to do with this, I think we start together, me and Alain, they think he can make our company -- contribute to our company success and like I said for me, it's about the success of the company. And I thought we could -- we will form together a very strong team.
Unidentified Analyst: And there is been some reports that you are shopping around or interested in selling the Learjet operations, any truth to that?
Pierre Beaudoin: No, no.
Unidentified Analyst: So you have no plans to sell Learjet?
Pierre Beaudoin: We don’t have plans to sell Learjet.
Unidentified Analyst: And finally, have you received or is there a number of hours that you’ve received credit from ground testing on the CSeries?
Pierre Beaudoin: You know it's about earn value, all I can tell you that we are making the progress to certify the second half of 2015.
Unidentified Analyst: Thank you.
Pierre Beaudoin: Thank you.
Operator: Thank you. The next question come Ross Marowits of Canadian Press.
Ross Marowits: Good morning Mr. Beaudoin. Good morning Mr. Bellemare. It’s a good one. Several analyst and investors have serious question about some of the decisions made by Bombardier, you said the constant that Mr. Bellemare after you left UTC but to what, I mean, just how much pressure was there to make a move with the Bombardier to reassure investors?
Alain Bellemare: The decision has to do with the opportunity basically that arose when it became available. I thought it was a wonderful way to reinforce our team. It has nothing to do with external pressure.
Ross Marowits: So is availability is the only factor that influenced your decision?
Alain Bellemare: Yes. I think it's an opportunity for our company and I think it is a right decision for us.
Ross Marowits: Mr. Bellemare, if I may. To what extent do you feel that you have to act quickly to redirect things to perhaps reinsure -- reassure investors?
Alain Bellemare: The first thing for me as I said is to understand the issues as well as possible to understand the risk associated with the program and the opportunities that's lie before us. And following to that I will implement whatever is needed to improve this program and improve the financial performance of the business. During my years the UTC are focused with on creating value for customers and shareholders. And it will not be different here in Bombardier, highly aligned I believe with what Pierre wants to do. We will be working together. We'll tour the long-term prospect of the business and profitable growth in the long-term.
Ross Marowits: So, you begin officially in new position tomorrow, how long will you allow yourself to basically get to know all the programs and the challenges that lie before you?
Pierre Alary: I could speculate about this, but I don’t want to implement generic plan that people coming from the outside are often tend to do. What I want to do is, quickly work closely with the teams in place to really grasp what's going on. I've had fruitful discussions with Pierre and I'm starting to have a good idea of what is going on. It will be important for me to do the business reviews that are appropriate. And we will work as quickly as possible to see to it that the plans that we need are in place to guarantee the entry into service as we wish them to come. We have wonderful platform. We are positioned at different sectors with different platforms, but in the rest of the business you know there are things that are functioning extremely well. We have wonderful franchises; business of aircraft is major and efficient franchise. We are privileged in our positioning with respected trend. So our starting point is solid and we will build upon that future for the business in a pragmatic way knowing that we have challenges to be addressed as quickly as possible. Thank you.
Operator: Have a seat. The following question is from Jerry Siebenmark of Wichita Eagle. Please go ahead.
Jerry Siebenmark: Good morning, and thank you for taking my question. I just wanted to I must have withdrawn, I just wanted to ask if the status of the pause to the Learjet 85 program has changed since the company’s announcement last month, especially given your earlier remarks about an improving U.S. economy?
Pierre Beaudoin: No, we just made that decision, as far as the conditions are still not at the volume we had anticipated for this category. I think definitely it will flow some back, since there is lot of airplanes that need to be replaced in this category, that’s why we say we pause, and since we have a great airplane and I feel confident that we come to market with it at the right time.
Jerry Siebenmark: And do you have any sense on the timing of when that might happen in terms of this year, next year?
Pierre Beaudoin: We are monitoring market conditions and we’ll make that decision when it’s appropriate for us.
Jerry Siebenmark: Thank you very much.
Pierre Beaudoin: Thank you. 
Operator: Thank you. Our next question is from [indiscernible] you have the floor.
Unidentified Analyst: Thank you, hello everyone. Mr. Beaudoin I just want to check your position is full-time or are you starting your retirement, I just want to be sure.
Pierre Beaudoin: No, it’s a full-time position, Alain and I, we have many priorities, and I want to be sure I support him fully as he starts out with Bombardier and over the years, I will still be in charge of mergers and acquisitions and company financing and what I want to make sure first is that I report alone in terms of all the responsibilities that you know have with the company so my position is definitely a full time one still. I understand correctly Mr. Bellemare will sort of stir the ship on the right course again and see if there is a possibility of either a merger or an acquisition or sale?
Pierre Beaudoin: What I can tell you as Mr. Bellemare would think we will see how we sort of bring back the ship to stir at the right course, we do have many platforms and together we will make sure that we mainly keep our objectives in mind and move forward.
Unidentified Analyst: Mr. Bellemare, Bombardier's recent history have shown that if you take one -- someone from the outside to replace someone from the inside a Beaudoin for instance or someone like Ms. Shirley for the employees it meant often that this were they might news that they are going to have a hard time, following maybe people will be laid off, some operations will be shutdown. So would you have something to say to reassure the employees?
Alain Bellemare: Good morning. I don't want to speculate. Listen, I am starting tomorrow. It is my first day, and what's important is that we ensure the company's financial health in the long-term. This is a dual in Quebec and Canada, it is an economic driver for Canada. It is a company that exports its product throughout the world, we have a global reach. There are some challenges in some factors and we understand them. And I will work closely with to address those challenges and to make sure that in the long term we have the kind of company structures that will allow us to ensure a solid financial health for the company. Mr. Beaudoin and Pierre worked together for years to build this organization that we have here in Quebec. And for me -- my objective is that we take the right decision, so that we’ll be around in another 50 or 100 years. So that’s what will be focusing on. What do we need to do to do that, I’ll work with Pierre and we will work with the existing team. We will take the right decision for our clients, shareholders, employees on the short, medium and long term. As we say in English we have exceptional employees. Yes, we build an extraordinary company, but we also have the talent so as to position ourselves to ensure future growth. So we just to have to work with our team that was Mr. Beaudoin or Mr. Bellemare again. I don’t think we have any programs. I mean I have known Per Allmer for 20 years. I have been working with about years -- over the years. He has been in a business partner, so, yes, we’ve got very deep talent pool of people that can do good things for Bombardier. Our objective is to work as a team with the people that are there right now, to make sure that this company will succeed in the long-term. I mean, we are a world class company, I know we've got challenges, but often people tend to just point to the area where we have more challenges as compared to focusing on things that go well. But this is a great company, has the lot of potential, work with care and direct team and all our employees to ensure the company success on the market.
Unidentified Analyst: So are we to fear some layoff?
Pierre Beaudoin: I don't want to speculate on that point. As I said, I am starting the job and my main objective is not to make layoff. My main objective is to make sure that the company succeeds in the long-term that our main objective.
Unidentified Analyst: Very well. Last thing, very last. Mr. Bellemare you are probably do you believe that you are -- 
Pierre Beaudoin: How many qualities would you like me to lift?
Unidentified Analyst: Well, however many you want to?
Pierre Beaudoin: I have 30 year experienced working in the complex high-tech environment, 18 years at United Technologies, a company that has been managed with great discipline they work in a very complex environment, important integration the occurred. So -- what I bring to Pierre Beaudoin and the team is an in-depth knowledge of the aerospace industry to manage huge complex programs, great network with our plans, the IM, the airlines. They’re all very solid and very good. I have integrated experience with it comes to sizeable deals with major corporation, integrating good rich to UTC. I focused on results and Pierre mentioned that. The client and the financial market, the importance and I have a fashion that company has performed and people enjoy our product and what I will bring to Bombardier is what I call it winning spirit to do the right thing, but work as a team. I like to be part of a team that will certainly benefit the company and that's so I think it's an extraordinary opportunity for me. Thank you.
Operator: Frederic Tomesco from the Bloomberg News. Please go ahead.
Frederic Tomesco: Hello gentlemen. I have some technical question. When it comes to debt per say and decided the type is secured or unsecured?
Pierre Beaudoin: No. No, specifically is the answer. Our debt is cyclical is what we did in the past sort of a long-term debt. We issue bonds. So more, 10 years or more. Well, we're going to look at the market and we'll see what the appropriate thing to do.
Frederic Tomesco: When it comes to your financing plan, many of my colleagues, the analysts have answer -- asked the question about participation in industry consolidation. But I didn't hear you say anything about aero structures looking at the possibilities there, because you will have many separate business unit which in the past were strictly Bombardier aerospace.
Pierre Beaudoin: I said I didn't want to speculate about any specific sector. I mentioned transportation, but it could be anything else.
Pierre Beaudoin: General switch.
Frederic Tomesco: But aero structures were mentioned when reorganization was announced talking about the possibility of creating a bigger unit.
Pierre Beaudoin: No, this was not mentioned by Bombardier. Yes, we'll agree on that.
Frederic Tomesco: Flight has of the CSeries 2,400 hours. Has that changed?
Pierre Beaudoin: This is always an approximation. A typical certification program combination of ground testing and in-flight tests, can't give you an exact figure. It's just to give you a sort of ballpark figure.
Frederic Tomesco: Your share is down today. Do you think what you're announcing to day is enough, or will you have to send out another message saying that you're taking other measures, or the March 11 Shareholder Day would sort of help you along?
Pierre Beaudoin: Well, we don’t make any comments on that. And Mr. Bellemare arriving on the 11th of March.
Pierre Beaudoin: There is a plan that will help us to head in the right direction. This is in terms of our AGM rather in March 11. But we do have short-term challenges, but we have to take the time to do things properly and appropriately.
Frederic Tomesco: Thank you for having taking the time to answer my questions.
Operator: Paul Vieira, The Wall Street Journal. Please go ahead. Mr. Vieira, your line is open you may proceed with your questions.
Paul Vieira: Hi, sorry, sorry, sorry. I think my question was answered, but I want to be clear that Mr. Beaudoin said that as Executive Chairman his role would -- he would be a full-time he is confirmed as a full-time role and that we would be in charge of prospective M&A and I think it was corporate financing. Can you elaborate specifically on that and it sounds like, the more I hear this call, it sounds like more of a Co-CEO as opposed to a new CEO, am I missing reading that or -- please explain.
Pierre Beaudoin: No, I want to be clear Alain does the full mandate of CEO, there is no Co-CEO. I simply wanted to express that I wanted to make sure, with my 30 years at Bombardier, I want to make sure to support Alain, whatever challenge that he will face for questions or exchange about our team. We have approaching issues, that he will benefit from the fact that I have spent some years with company and I intent to give you to support him on a full time basis with the mandate of focusing more on M&A and financing. But also there is a lot of operational issues, things to do in the company and I will support Alain in the way he fit in his role.
Paul Vieira: And when you talk about financing, you are talking about raising capital or is that or like plans on reducing debt is that -- just wanted to be clear what corporate financing mean, because I do understand what the M&A means?
Pierre Beaudoin: Well we spoke about our financing plan, of course our corporate treasury does a very good job by putting things on place what we have seen to raise the appropriate financing but on behalf of Board and the Company I want to follow his strategy.
Paul Vieira: Okay. I am really there about. Thank you.
Pierre Beaudoin: Thank you.
Operator: Thank you.
Pierre Beaudoin: Operator, do we have any more questions?
Operator: We have no further questions registered. Thank you very much to all for your presence today.
Shirley Chenier: And from me, have a great day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.